Operator: Welcome to the Natuzzi S.p.A. Fourth Quarter and Full Year 2024 Financial Results Webcast. [Operator Instructions]. Joining us on today's call are Antonio Achille, Chief Executive Officer; Pasquale Natuzzi, Executive Chairman; Carlo Silvestri, Chief Financial Officer; Daniele Tranchini, Chief Marketing and Communications Officer; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. I'd now like to turn the conference call over to Piero. Please go ahead.
Piero Direnzo: Thank you, Kevin, and good day to everyone. Thank you for joining the Natuzzi's conference call for the 2024 Fourth Quarter and Full Year financial results. After a brief introduction, we will give room for the Q&A session. Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States security laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent annual report on Form 20-F filed with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. And now I would like to turn the call over to the company's Chief Executive Officer. Please, Antonio.
Antonio Achille: Thank you, Kevin. Thank you, Piero. It's a pleasure to be again with you, and good morning to the people joining from U.S. and good afternoon for those joining from Europe. We're going to be today discussing the results of the last quarter and the full fiscal year 2024. As usually, we'd like to provide also context and what we are working on beyond the figure we're going to be sharing. That's the reason why with Pasquale, we also decided to invite our Chief Marketing Officer that will be testifying together with Pasquale, the stand that our brand retail journey went up to now. Let me start with the financials. As you have read by our press, we closed the year at EUR318.8 million, 3% lower than last year. As you know, the market continue being quite volatile and challenging. This is a level of sales, which, of course, does not make us satisfied. At the same time, I believe it is a testament that our company is very resilient in light of a very, very volatile and through 2024, still a very soft market in most of the geography we operate in. Looking at the share out of the total, which is represented by branded out of the EUR 318.8 million, EUR289 million has been made through our brand. This is definitely part of our vision initiated by our Chairman, Pasquale, of transforming a manufacturer into a brand retailer. This figure compared with EUR295 million in 2023 and EUR295.9 million in 2019. So while we look at 2019 and we continue looking at 2019 as a comparable year -- as a year of comparison because it was the last year before this very prolonged period in which we actually witnessed everything from COVID to wars to duty war, it's interesting to flesh out that in 2019, our sales were higher, were EUR387 million. But when you look at the branded sales, we're pretty much at the same level. This means that we've already been working to improve the quality of sales, which then is going to be -- which is reflected in margin, which Pasquale will comment later on. And in fact, today, branded sales represent roughly 93% versus 80% in 2019. So I hope you appreciate that we increased by almost 13% the quarter revenue that we grew through branded business, which is, of course, a more representative way of our value, not only in terms of margin, but in way of expressing the DNA of the company. Another element which goes hand-in-hand with that is the relevance of the retail because typically, if you are branded, you want to express the DNA and the customer experience in a more controlled environment, being a freestanding store, U.S. or franchising or a gallery, which is our way to ensure a presence in a multi-brand retailer. Looking at the directly operated store in the year, we reported EUR70.1 million, which is up 4% versus 2023 and 18% versus 2019. The growth has been mostly in terms of top line driven by the U.S., where it's important also to remember, we opened an additional store in 2024, in particular, in Denver. At the same time, to better interpret those data with a like-for-like approach, it's important to notice that we also closed 2 nonperforming stores of Natuzzi Italia, one in Spain and one in Switzerland. And additionally, we closed one store not performing of Divani&Divani, which I remind you is the brand used to sell Natuzzi Edition. How you should interpret this closure? In a positive way because the company started retail, and this will be something we'll be discussing today, 30 years ago. So the company and the collection were very different. Some of the locations where we opened initially the stores, not only maybe they change location because city evolve, mall evolves, but also because our brand evolved. So this is particularly true for Natuzzi Italia. Natuzzi Italia today is a very different brand than it was 20 years ago. So some of the location, they don't represent any longer our brand. And when there is an opportunity to exit the contract, the location contract, we take it to then requalify the network. Another important element we keep on very focused through 2024 is continuing our transformation. It has been, I would define it as silent in the sense that luckily, no single line of newspaper has been written on this, but very, very pervasive. In 2024, we let go 638 people, roughly out of which in China, where, and I will discuss later, we relocate our production from Shanghai, which was not any longer cost effective, especially for labor to Quanjiao, which is 300 kilometers south, which offer a better rents and cost condition. In doing so, and again, I think the credit goes very much also to our Chairman, which help really to anticipate some of the things happening outside, we decided not to have any longer the production of Natuzzi Edition for North America and China, which was moved in October 2024 to Europe. We didn't have any anticipation of what would happen, but this proved clearly very smart in the light of the evolving tariff because that would have been impossible to serve North America from China. So the new plant in Quanjiao is entirely dedicated to the domestic market, to the China market where we operate with our JV. So looking at the perspective more with 3 years horizon, which is the horizon have been having the honor to serve the company. We let go 1,141 people as net reduction, which means that at the same time, we hired more than 100 people to reinforce our marketing and retail competencies. Daniele, for instance, is one of those hires. So we reduced by 26% by 1/4 the total headcount of the company. So quite pervasive. Again, privileging to protect and reinforce, let's call it, the new Natuzzi, merchandising, retail, marketing, digital and reducing the historical large capacity we had in production which was due when the company was a manufacturer in the large volume business. 2024 gross margin closed at 36.3%, again, improving by 2 percentage points versus 2023, where it was 34.3%. So I repeat it because I understand it was not very clear. So the margin in 2024 was 36.3% against 34.3% in 2023 and 29.7% in 2019. So versus 2019, we improved the margin of almost 7 percentage points, and we continue improving also in 2 years, which, again, I would say they were not definitely easy for many aspects. How does it play in terms of breakeven? It's interesting to notice that, for instance, in 2019, when we had EUR387 million sales, so roughly EUR70 million more than we had this year, the company closed with EUR22.5 million losses, while this year, we closed with EUR70 million less revenue with EUR6.3 million losses, which, of course, does make us very, very, very unsatisfied, very unhappy, but I think it's testified that the company is lowering the breakeven. And in fact, if we don't consider the restructuring that according to the IFRS, they are inputted before the EBIT, the operational loss would have been EUR1 million. Clearly, we are not operating with the aspiration of losing. We want to definitely win and be profitable. But I believe it gives you a sense of how the machine now is responding in terms of extracting value from what we do. In terms of net financial cost, there's been pretty much stability. As you know, for the IFRS principle, according to IFRS principle, part of the lease goes under this net financial cost. In particular, we had EUR0.7 million that were due to the fact that we increased the number of stores in 2024, which explains the difference in cost -- in net financial cost. We continued on the program to divest nonstrategic asset. As we've been very transparent, the Board approved a proposal from the inside shareholder to acquire High Point, which has been completed. The transaction has been completed in March 2025. We give transparency in this press release. Of course, the additional payment, which was reported of EUR8.3 million is not yet reflected in the net financial position -- net cash position of the year-end because we closed the net cash position on the 31st December 2024, while the transaction was completed in March 2025. So it will be something visible next round. I will not go line by line in commenting the last quarter. The things which I maybe flesh out, there are 2. The reallocation between plants. So the closing of Shanghai and the transfer of the production for the domestic market to Quanjiao, which had, of course, a ramp-up and moving all the Natuzzi Edition collection for North America in U.S. has been well planned, but of course, they are quite a significant move. So operation in the last quarter, we were not able to fully keep up with the production pace. And in fact, we increased the backlog of EUR6.4 million in the last quarter that without this change in production should have materialized in terms of sales for the quarter. So last quarter was really affected by that. The other element that maybe I flesh out is that the last quarter closed at 38.1% in terms of margin. So again, I would say a nice progression because if we look at just last quarter, again, it's quite an increase because the last quarter of 2023, the margin was 30%, so 8 percentage points compared to the previous year. This, of course, is something we're going to be very disciplined and try to defend and amplify. So this is for, let's say, the financials. And of course, we will be very happy to take more questions. Let me provide some color on what we are working on. In 2024, we work very hard in the group future because we do believe this group has a strong future. And it's a kind of combination because you need to manage the cost with the microscope, but use the telescope to keep looking at the future because if you are just too tactical, you don't build the future. You can also die by being too tactical. So we really focus on cost control, but at the same time, maintaining the ability to invest for brand, for retail system. I mentioned already the achievement in terms of margin. This is, for us, something, of course, important. And again, it's the direction we're going to be continuing. The other aspect I will mention is the hard work, which is not yet, I would say, reflected in sales that has been taken to really transform a company which for a long part of its history was a manufacturer to a company that had the vision to become a retailer, but then had to become a retailer in terms of system and competencies. And on this, I would like to call in Pasquale, who is the person which I can testify best this journey because it was his vision and is best able to describe how hard that was with him also with the new team to transform a very successful manufacturer in a company that need to learn a new job being a retailer. So I think it would be nice to hear directly from him how difficult, but also which has been the important step achieved by the company under this dimension. Pasquale, do you mind sharing your view with the team?
Pasquale Natuzzi: Probably, Antonio, we should first allow the shareholder to ask some question, okay? I mean let's interact in this -- we shouldn't talk always we. I mean, let our shareholders to ask question, all right?
Antonio Achille: Absolutely. Absolutely. So, Kevin, I would say let's open a first round of discussion. The other point in the agenda, I might cover directly with the help of Pasquale is the work we have done in the commercial side, which I want to share because, of course, I believe you should tell us, but I believe as an investor myself in the company is, okay, you've been working on the margin, but when the revenue will come because now the machine, if you wish, is ready to deliver better results but probably need sales. So I want to tell you what we are working to get sales. But let me stop here for a first round of Q&A.
Operator: Thank you. [Operator Instructions] At this point, it appears nobody has any questions at this time.
Antonio Achille: Okay, so let's complete the presentation, and I'm sure there will be questions at the end. So the aspect I was mentioning, and Pasquale, you jump in any time, but then I will ask, definitely, Daniele to comment, is the transformation in the direction of being a retailer? Do you want to contribute, Pasquale or should I continue as you prefer?
Pasquale Natuzzi: No, no, no, you can continue, Antonio. Don't worry. I'm here just to support you. Don't worry.
Antonio Achille: Feel free to jump in anytime. So very transparently because we have always been very transparent with you as investors. In 2000, the company decided to become a retailer because they also understood and that was really credit to Pasquale of this lucidity then being a manufacturer out of Italy, being a value manufacturer out of Italy with aero with inflation was not any longer defendable. But they also understood that the story under Natuzzi and the legitimacy to sustain a brand positioning because there was innovation, there was style, there was also this methodological ability to create beauty, which are all elements which are at the core of a brand. And a brand is a retailer by definition. And this vision, in fact, encountered quite a significant success with patent that decide opening stores, but also Natuzzi decided to open stores. But at the time, there was a significant disconnect between that vision and operation because system were not allowed to read data and sell out timely. There were no competencies to manage aspects which are critical for a retailer like merchandising, like customer experience, visual, neither ability to decide and we discussed before about the closing of some store, whether a location was completely appropriate. There was not yet a methodology. So the company, in a sense, had to learn why it was already on flight because stores were opened, expectations were generated, but system were not there. I must say that I'm particularly impressed and you know that my background has been for 25 years in advisory by the speed in which this company has been able to equip itself with tools, competencies and system and people. Under the last 3 years, we create a new division that were not simply existing. We create a customer experience division with a wonderful gentleman that in one of our call, I will introduce you, Michele Ciani, which is setting rules on how to create emotion within the store because our store is not like a transaction place. It is a place where you have to create emotion. We now defined that every product needs to be launch on the market with an end-to-end marketing approach. And in fact, we abolish the word product and we talk about project because like in automotive and other sector or in consumer electronics, when now we define to launch a new project, there is a clear positioning, there is a clear marketing strategy and there is a clear selling point to the market. And in fact, we defined 5 major projects, 2 for Natuzzi Italia and 3 for Natuzzi Edition, which I'm sure Daniele will comment later, which set the tone not just for one collection, but for multiple collection. And we also had to develop tools merchandising is a very complex matter because you have to imagine that our collection can be customized in many dimensions, size, versatility, fabrics, covering, colors and every solution target a specific segment of the market. So when we define what is the deal merchandising for a store is a very complex exercise that typically was taking 4, 5, 6 weeks for an individual store. And having 660 stores, you can imagine this was becoming a bottleneck as we want to suggest this to the market. We don't let the individual partner to decide it. We now completed an automation process where process that were possible to complete only in weeks. They are now completed in hours where our system produce immediately a diagnostic of what needs to be changed in terms of layout and suggest a solution, which then are still refined by us. So I can detail more most of these, but the key message is the company is bridging the gap from a vision to operation. It decided to become a retailer now is becoming a retailer. And in saying that, unless Pasquale has an additional comment, I will ask Daniele to show the new way for instance on interpreting marketing, which is not any longer just brand marketing because luckily, as you know, Natuzzi is the most renewed brand in U.S., in Europe, in China. So it's less about brand awareness. It's more to drive traffic in the store. And again, here, we did significant advancement in making it measurable and predictable. And I will ask Daniele to share appeal of that.
Daniele Tranchini: Thank you, Antonio. I don't know if I can share my screen just for a few minutes.
Antonio Achille: Yes, yes, sure, Daniele. If you go -- maybe, Kevin, you can help but...
Operator: [Operator Instructions].
Antonio Achille: [Foreign Language]. Maybe, it's done? [Foreign Language].
Daniele Tranchini: [Foreign Language]. While I try to -- in fact, while I try to get the technology to assist me, let me start by commenting some of the words that somehow I don't seem to be able to...
Antonio Achille: [Foreign Language]. Sorry, I am switching, I am doing a bit of remote IT support. [Foreign Language]. [Foreign Language], Pasquale, I made point, so there is a bit of additional complexity for not being in the quarter.
Daniele Tranchini: Okay. Somehow, it does not allow me to do what I'm trying to do, but never mind. I will...
Operator: It may be a firewall issue, sir, I do apologize. I'm not...
Daniele Tranchini: Yes, that's all right. Don't worry. Let just give you a few comments to reinforce what Antonio was talking about just now. The challenge that I've taken on as...
Pasquale Natuzzi: Daniele, while you are unable to show the image of the new collection that we launched together with the marketing, let me explain a little bit, okay, the journey that the company is doing in terms of retailer. So let's say, in our history, we have made always a wonderful product. And the consumer loves a Natuzzi product, no question about. And because of that, a lot of entrepreneurs in China, in America, in United Kingdom, in Spain, everywhere, they decided to open a Natuzzi store and show the brand and show the product. Obviously, that doesn't mean to manage retailer because each individual entrepreneur in each individual country, they were managing the brand in their way, okay? We have been grateful to them for believing and trusting in us. But we realize that we need to control our brands. So that's why we have been working on analytics in order to -- first of all, do we clusterize the store? Where we have the store? How many stores have we? Where they're located? Are they appropriately located, yes or not? And then we succeed also to connect with our store in order to control the store traffic, in order to control also the conversion rate, the customer gets in the store, okay? Are we able to convert the visit in sale?
Antonio Achille: Pasquale, [Foreign Language].
Operator: I think he may have frozen. Yes, there we go. It's the connectivity issue.
Antonio Achille: Okay. Okay, guys, I think this was commenting what pretty much we discussed. Definitely Pasquale will be able to [Foreign Language]. Kevin, again, maybe you want to go around for Q&A, this question.
Operator: Will do. [Operator Instructions]. Our first question is coming from George Melas-Kyriazi from MKH Management. George, please proceed. George, unmute your phone. Corey Pinkston, your line is live.
Pasquale Natuzzi: Antonio, do you hear me now?
Antonio Achille: [Foreign Language].
Pasquale Natuzzi: Yes, okay. I have been disconnected for a little while. I mean, as you know I'm in America. I'm in America, but I'm surprised. I must be more connected than Italy. But anyway. Okay, so go ahead, then.
Corey Pinkston: Gentlemen, can you hear me?
Antonio Achille: We do.
Pasquale Natuzzi: Yes.
Corey Pinkston: Congratulations on navigating the environment we're in, especially with the manufacturing movements that you made for additions to get it back into Europe and all the rest and all the development of the brand and as you said, project versus product development in the company, which probably is as critical today as it has ever been in light of the current environment. One question, I missed the very beginning of your comments, Antonio. But as it relates to the tariffs, I know we're speculating as to how long, how they're going to be, what they're going to be, et cetera. Based on kind of as you look at the current market, if we assume that there are going to be some kind of increased tariffs in place and maybe you can -- we can speculate on that. As it relates to either pricing of the product to the customer or margin impact, is there any ability to kind of give us some thoughts as to how to think about that? And also, when I don't -- we're not as close to the market as you are. But when Natuzzi is in America, obviously, we can look at the comps that are out there, whether it's RH or others. But you're a very different, I'll say, brand and approach to the market. And so as we think about the fact of the consumer being in very different categories, whether it's a higher-end consumer, medium, kind of higher medium. Can you just give us a little bit of idea as to what you're seeing in the market now, obviously, without trying to give us forecast?
Antonio Achille: Yes. No, and thank you for being so respectful, Corey, in posing your question. I would compose the answer maybe in 3 parts. So how we plan to react and how we already actually reacted. What we expect that this could be the impact in terms of large distributor and consumer short term, but also, which is the third part, how this position Natuzzi in light of the large competitors in U.S. that you didn't mention explicitly, but we know who they are, it's Restoration Hardware, it's Crate & Barrel, Arhaus, and other company. So how we are reacting? Definitely, this was not something we would have hoped for. That's for sure. I mean we were actually expecting the opposite that at least from U.S., there would have been some signal of stability. But having said that, our platform per se is more equipped to navigate volatility because we are not dependent on third party. We have our own production. And as I mentioned, we have several platforms because we have Italy, which is definitely the place where we produce our high-end branded collection. But we operate also facility across Europe in Romania. In Romania, just to tell you, we have 1 million square feet surface. So it's huge and definitely scalable. We have a production, as I mentioned before, in China. We have a production predominantly outsourcing in Vietnam, and we have production in Brazil and Salvador de Bahia. So this legacy, as you know, is a heavy legacy when you look in our P&L. But in a phase like this, give us flexibility to reorient production where we make sense. I made the example before of Natuzzi Edition for North America being moved to Europe before. And there are other options we are currently considering. So this is from an industrial, let's say, footprint. Then in terms of protecting our marginality, of course, if we are -- as you know, there's been a 90-day procastination. But even in those 90 days, there's been a 10% applied. Of course, we had to protect our margin in this period. So we had discussion with our partner to do a fair sharing of this to protect our marginality even for the order that were taken before the tariff enter in place. So we've been very careful in protecting our marginality with something which does not depend on us. It's a very similar situation like in '21 when we had a spike in freight, and we had to protect ourselves by introducing in a very transparent manner, freight surcharge, which is not caused by our avidity, but it's simply a consequence of decision taken somewhere else. So this is how we are acting. So long story short, we have multiple production [Technical Difficulty] provide flexibility. We are protecting the marginality, introducing the equivalent of freight surcharge, let's call it, duty full surcharge to protect the sales that goes to North America. Of course, the other geography, they have not been impacted. What we see, we see that this is creating uncertainty and uncertainty does not help the business. So we have definitely seen a more selective approach from the large distributors and consumer after all the store started also because I believe the level of unpredictability of the setting is what is preventing from doing business. You have to imagine yourself being a large distributor in U.S. and not knowing what's going to happen to China, to Vietnam, to Europe in terms of tariff, they can have a swing from 0 to 135. In absence of clarity, you, of course, don't take a huge investment decision. How does position this Natuzzi versus the competitor? Having said that, we don't see this as a positive for the industry. I mean we don't, let's say, celebrate when other company have issue. But clearly, it's a company has been entirely set up to source product from Far East being China or has typically happened lately, Vietnam, this might be a very, very strong swing factor for them because recreating a supply chain in our sector doesn't take days. And if the tariff after these 90 days are confirmed, honestly would not be in there -- I mean, our -- my seat and our seat is not easy, but I wouldn't like to be in their seat because what you do if overnight, you have the sourcing where you source 85% of your product, they have a duty of 120% or 46%. I think this will be, of course, a strong discontinuity for the market. And in this context, Natuzzi might have some advantage from a competitive standpoint. Corey, did this relatively long and structural answer address your short and effective question or not?
Corey Pinkston: No, thank you very much. It really does. And part of the thesis that as shareholders is being a little bit smaller than the competition, being in a different segment than the competition to a certain extent. As we look at it, which is you're across the board. But I think the flexibility you have on the supply chain gives us a lot of comfort. And hopefully, as you said, we get to some type of resolution sooner rather than later. But thank you very much, Antonio.
Antonio Achille: And if any of you who sit in the U.S. can help, we will be very grateful to each of you. Okay. Next.
Operator: It appears there are no further questions at this time. But if you do want to ask a question, please use the Ask a Question feature on your screen, okay?
Antonio Achille: So Kevin, in transparency, I received some questions by e-mail, which is a bit atypical because -- so I don't know, Piero, if you do receive questions by e-mail.
Piero Direnzo: Just received a list of requests from a guy who is not in the position to participate in the call.
Antonio Achille: So this gentleman, Garrett Larson is not in the call.
Piero Direnzo: Yes, yes.
Antonio Achille: I'll make sure we can address it offline. Okay. Any other question?
Operator: It appears there are no further questions at this time.
Antonio Achille: So, Pasquale, it looks like your line has been stabilized. [Foreign Language].
Pasquale Natuzzi: Okay. But again, yes, today, if we should look at the positive side of our company today is that we are in the position to analyze and make diagnosis why the store in Sarasota is making money? What they make a special? Why the store in United Kingdom probably is not making money? What's the reason? So low traffic, it's conversion rate is the problem. The issue is the ticket, which product are we selling? Which product are we not selling? Today, we are in the position in a very fast way to do diagnosis on each model everywhere in the world, each store in the world we have and basic [Technical Difficulty].
Operator: It appears the WiFi froze.
Antonio Achille: [Foreign Language].
Pasquale Natuzzi: [Foreign Language]. I am connected again, Antonio because I don't know.
Antonio Achille: You are. You are. You can give it another try. I hope this time is going to be more stable.
Pasquale Natuzzi: I'm sorry because communication is not really the good one that should be. But anyway, I was saying that while we are in the position with our system to analyze and make diagnosis on the performance of each individual store that allow us to define action plan through changing product is not performing with a new product that could perform based on our know-how, knowledge and also supported with the marketing. That's what we have been doing in 2024, preparing how can we -- because we have a store. We have a store in China. We have a store in America. We have a store in Europe. We have a store in Middle East. We have a store in everywhere. We need to increase the sales. And in order to do that, we feel very confident that with the new collection that we developed in 2024, wherever we have done already, the launch of the new collection supported by really an effective and very good marketing support are performing very well. So that's our challenge this year is just to improve consumer confidence in each geography, in each store, and we have all the tools to do that. I mean, so that's what I can say that I'm confident that despite the geopolitical situation, what -- I mean, production, we are -- production-wise, we are very well, let's say, organized because the factory in Brazil, the factory in Romania, the factory in Italy, the factory in China, the factory also in Vietnam. I mean, even regarding the duty, the tariff doesn't concern us really very much. Our challenge is primarily how we should improve the sales in each individual store and geography. We have the new collection that we developed for Natuzzi Italia, but also for Natuzzi Edition. And we have all the marketing plan. We have made a huge investment in order to support geography and the individual store or group of store like we did in Florida, for example. We have been doing -- launching comfortness collection in Florida, but also in Georgia and also in Texas. And we have -- I mean, we are getting -- the traffic is increasing, absolutely. We are getting a lot of contact. So that's what I can say regarding the marketing department and the product development market company has been doing in order to overcome this situation that no question about it is not an easy situation. We see also other peers how they are performing. So that's the reality.
Antonio Achille: Thank you, Pasquale. And this time, line supported the speech. Thank you for closing in a very positive and optimistic way, and it's an optimism that comes from hard work, not just from hope. Kevin, I believe unless there are question, we are complete for the section.
Operator: We do have one question from George Melas-Kyriazi.
Q - George Melas: Can you hear me?
Operator: We got you my friend, there you go.
Q - George Melas: Great. Okay. Well, it's actually quite -- it's interesting. I think Pasquale answered a lot of the questions that I had. So I appreciate that, Pasquale. But it was about the tools, the tools and the system to really in that transition into retail. And I think you mentioned, Pasquale, that you have sort of all the tools. And I just want to go over that one more time. Are there certain things that you feel are missing that you still need to add to your capability, primarily in terms of system in order to -- and then the second question is with this analytical ability to really look at products across so many stores. What have you learned so far? What is it -- is it that -- how does that impact the way you think about the collection?
A - Pasquale Natuzzi: Okay. So regarding the tools that we have today, we believe we have done really something which we should be proud of because to be based in Italy and manage a store in America and in China, in South America and in Mexico or in all Europe, Middle East and Africa, I mean, has been not an easy exercise. But today, we are in the position to analyze and do diagnosis why we are not performing well or why -- or what we need to perform better in terms of -- probably we need to do training to the people because the conversion rate is very low. So then we know that our human resource management will provide for training, for example, for the people in the store. If there are some product because we have living room in different style and function in our store. We have a dining, we have a bedding. I mean, our product proposition to decorate a home, and we have a different product in our store. But we need to understand which product is performing and which one is not performing and what we do, how fast can we replace and improve the merchandising in the store. That's very important in order to monitor the sales by square foot. It's very important because the lease, the people, the cost of the store is very high. So we need really to be careful and act very fast in order to improve the sales by square foot. So that's one of the challenge. Product-wise, we believe that based on our 66 years experience and the people that we have in our company because we have been based always in the same territory. We haven't changed. In our industry, company, they move from one country to another country, from one region to another region. And they never put together the management that should be able really to manage the brand in the appropriate way. Regarding that, we are very proud because we have people in Apulia working with us, very talented people. We have the people, we have the production. We have the store everywhere in the world. We need to improve how to manage and how to improve the sales in our store. We created the tools. We have the product, we have the collection. We have the marketing. and we are confident despite whatever will happen in the world because we don't know. I mean the war in Ukraine, what will happen. The war in the Middle East, what will happen? Who knows? I mean, there are uncertainty in all the way around. But even though we are confident, motivate and we work very hard in order to overcome this challenging period. I mean, that's what I can say.
Q - George Melas: Great. I appreciate that very much. And maybe a question for Antonio, as my last question. Do you sort of have a line of sight to profitability, what it takes to get to profitability? Of course, I think the real big factor is what Pasquale was talking about increasing revenue and increasing revenue per store. But maybe can you talk a little bit about that? And maybe also about is there any expansion in the U.S., any retail expansion in the U.S. in '25 or '26 that you're looking at?
A - Pasquale Natuzzi: Our priority now is to improve our organic growth. We have the store. We are committed to make the store more profitable. That will be our today and tomorrow challenge. Antonio want to say and you have mute, Antonio.
A - Antonio Achille: Yes, I agree with, of course, with Pasquale because those decisions are always taken in Symphony. I think given the current market and given how much headroom we have, we believe that organic growth is a reasonable way for at least the remaining '25. We opened in U.S., as you know, 5 new Natuzzi Edition -- Natuzzi Italia store over the last 12 months. Each of them is a baby, they now need to be cured and let grow in the proper way. On your -- the other question, Georgia, in reality, if you look at the company has invested a lot in this journey, more than EUR1 billion because if you look over the last 15 years, the last years were from, let's say, the only years from a reported year where we had a positive EBIT were 2021 and 2022. And so reflecting on what could be a threshold for -- with the current model to be at breakeven is clearly much, much lower than it used to be. We saw that in 2019 with EUR390 million sales, the company lost EUR22 million. I believe now, and Carlo can correct me if I'm not right, I have not done sophisticated modeling, but I believe if we are in the range of EUR340 million, we are profitable. And we -- with a bit more than that, we definitely produce positive cash flow. So I think the level at which the company can be breakeven has been seriously reduced if we keep protecting our marginality. So if we go back to the revenue the company was able, and I believe is still able to express with 660 stores and with 400 gallery, that should be a proof of the equation we have been hardly working on, that should be translating in profitability.
Q - George Melas: Thank you.
A - Antonio Achille: No, my pleasure, George. And thank you for your continuous trust in our company.
End of Q&A:
Operator: And Antonio, it appears there are no further questions at this time.
Antonio Achille: Okay. Then if this is, let's say, the last question, I take the opportunity to thank Pasquale, Daniele, Carlo and Piero for being us today and supporting the conversation. But in particular, thanks everyone of you, which has been joining this conversation. The message I would like to convey is that, of course, this is not the easiest time for a brand retail company, but we are very convinced on what we are doing, and we are believing we are building a model that can be delivering results. I welcome as typically happen also follow-up question. I'm sure that between myself, Piero and Carlo will be able to address them even beyond this conference call. Thank you so much, and wish you a great end of the week. If you happen to be around High Point, please stop at our building. There will be a great opportunity to interact with Pasquale with our team and to see our collection. This year, I stayed in a quarter to be focused on a few things that need to be closed, but there will be definitely a lot of colleagues that can be sharing with you the excitement of the new collection in High Point.
Pasquale Natuzzi: I extend and I confirm the invitation. I would be pleased to have anyone of you to visit us here. Thank you.
Antonio Achille: Thank you so much, Kevin. You can close.
Operator: [Operator Closing Remarks].